Alexander Charles Hungate: [Audio Gap] like Trip.com and AliPay to enhance brand visibility even before users land in the region. And as a result of these initiatives, travelers MTUs have grown over 10x over the last 3 years, with airport rides driving over 10% of our Mobility GMV today. GrabMart is growing 1.7x faster than GrabFood, thanks to three important improvements to the customer proposition. First, deepening integration with major supermarkets to ensure that handling of fresh produce Deliveries is reliable and consistent. Next, curating our merchant selection to shift user behavior from daily essentials to weekly stock-ups. And lastly, [ GrabMore ] has been launched, where users can add groceries to their food order at no additional cost. And as a result, we've seen a 30% year-on-year increase in GrabMart users in 2025, while usage frequency continues to improve. There is still plenty of upside with GrabMart, only accounting for 10% of our Deliveries GMV today. The success of our merchants has always been at the heart of our mission. The powerful integrated suite of offerings that we built for them is intended to take them and the Grab platform to the next level. First, Grab offers merchants enterprise-level digital tools that help them maximize their return on advertising spend. Next, we provide integrated point-of-sale and payment systems to widen payments acceptance for them. And then we embed lending to improve cash flows and finally, transform their transaction data into actionable insights to help them scale their businesses. With these capabilities, Grab will be able to deliver the one outcome that matters most to our merchant partners, which is, of course, sustained earnings growth. In 2025, total active Deliveries merchants increased 9% year-on-year, while their earnings have seen a corresponding increase of 11%. Our Financial Services strategy is centered on embedded distribution that lowers customer acquisition costs with personalized offerings. For the majority of our users, drivers and merchants, GrabPay is their initial entry point into a range of Financial Services. And as they build a transactional history with us, we can also offer lending and insurance and even digital banking services in Singapore, Malaysia and Indonesia. In just 3 years, we have grown to 7.4 million deposit customers across our 3 banks. We have not had to invest heavily in acquiring new users or offering high deposit rates as we are converting the users who are already on our platform. This also drives our lending business because we see high-frequency daily transaction data on our platform. We can predict risk more accurately. And this allows us to scale our loan portfolio rapidly while risk-adjusted returns continue to track above our cost of capital and credit costs remain well within our risk appetite. In 2025, our gross loan portfolio surpassed $1 billion for the first time, ending the year at $1.3 billion. Our goal is to exit 2026 with a gross loan book of over $2 billion. I also want to touch on this morning's announcement on our acquisition of Stash, a U.S.-based digital investing platform. While we remain firmly committed to Southeast Asia and the growth of our regional lending business, this acquisition achieves two specific objectives. First, it accelerates our wealth management roadmap with the addition of new capabilities and talent. And second, it has an attractive financial profile. Stash has the potential to grow into a high-margin subscription revenue stream, contributing over $60 million in adjusted EBITDA by 2028. The last part of our strategy is potentially the most important for the long term. That is how we harness technology, including AI, for efficiency gains. We leverage AI to improve conversion at every stage of the funnel. For example, we automate menu translations to enhance conversion of high-value segments such as travelers. Over 97% of our merchant listings regionally are now available in English and Chinese. Our credit scoring models are also increasingly robust as we were able to white list a greater proportion of ecosystem partners. We have also improved real-time personalization by collating a database of over 1,000 attributes and segmenting our users and ecosystem partners into 200,000 distinct segments. And finally, we have improved our search and basket conversion with AI semantic search and real-time personalization. Our tech investments are helping us to gain operating leverage. We continue to lower our cloud costs per transaction by proactively retiring idle resources and transitioning to more cost-efficient solutions. And at the same time, payment processing costs as a proportion of total payment volumes is declining as we increase volumes through our wallets. And finally, we are maximizing head count efficiency by deploying in-house AI models. For example, you may be asking yourselves, how are we able to double the amount of cities in which we offer services with a reduction in operations headcount at the same time? The answer is that we have been deploying auto adaptive technology to optimize our core marketplace in each city, enabling us to scale in a lean and agile fashion. In fact, today, more than 90% of our Mobility rides are dispatched by using AI. Looking ahead to the future, we are investing in the next structural shift in On-Demand services. autonomous vehicles and robotics. In partnership with WeRide, we launched our first AV shuttle service for the public in Singapore. Our position as Southeast Asia's leading on-demand marketplace makes us the preferred commercialization partner for global autonomous technology leaders. We are committed to serving two critical functions: first, acting as a key thought partner for regulators to help define safety standards and operational frameworks for driverless transport. And next, supporting our driver partners through the transition to our hybrid fleet by uplifting them to take on specialized roles in safety and fleet management within the autonomous ecosystem. So in closing, I have updated on the strong progress we are making as we execute towards our strategy and share with you our priorities for the future. We will work closer than ever with a merchant and driver partners, government agencies, corporate partners and Grab-ers to execute this strategy. Thank you for your continued support. And with that, I will now turn the call over to Peter, who will discuss how these developments support our financial road map over the next 3 years.
Peter Oey: Thanks, Alex. Anthony and Alex just laid a powerful strategic roadmap, focused on affordability, ecosystem-led lifetime values and Gen AI efficiency. I will now show you how that strategy is translating into our financial road map, which is driving durable, profitable growth at scale. Now what makes it particularly energized is how our execution over the past few years is already setting foundations to drive the financial outlook that we are setting today. Let me first deep dive into our fourth quarter and 2025 results, which sets us up for the next chapter of our financial road map. We delivered a strong finish for the year in the fourth quarter, characterized by product-led demand-driven growth. Our On-Demand GMV increased 21% year-over-year or 20% on a constant currency basis. with transactions outpacing GMV growth at 24% year-over-year. The strong volume growth is underpinned by our affordability and ecosystem expansion strategies that drive both user acquisition and also drive higher transaction frequency. Our group revenue grew 19% or 17% year-over-year on a constant currency basis to $906 million. This is fueled by this GMV momentum and also driven by increasing contributions from our Financial Services. Now Financial Services also achieved our goals with our gross loan portfolio hitting $1.3 billion. and our net loan portfolio reaching $1.2 billion, well above our guidance of $1 billion, while maintaining healthy risk-adjusted returns. Adjusted EBITDA reached $148 million for the fourth quarter marking our 16th consecutive quarter of EBITDA expansion. On a full year basis, adjusted EBITDA grew by 60% year-on-year to $500 million. These profitability is being powered by our robust top of the funnel growth and also our relentless focus on driving operating leverage as we scale. Finally, we generated $76 million in adjusted free cash flow for the quarter and $290 million for the full year, underscoring the efficiency of our platform. The scalability of our ecosystem is delivering clear trend of accelerating top line growth, coupled with expanding profitability. And when we take a step back to review 2025, we hit several key milestones. Let me show you what they are. First one, we have driven a strong acceleration in growth with On-Demand GMV growing by 21% year-over-year. We are able to do this as a result of years of effort to widen the top of the funnel and execute on the product-led strategies Alex just described. Our confidence in this momentum remains high because we are seeing a product-led and ecosystem-focused initiatives drive higher transaction frequency and also attract a broader user base than ever before. Now as we continue to scale the ecosystem, it translates into operating leverage as we benefit from greater network scale efficiencies. From our first quarter of adjusted EBITDA profitability achieved in the third quarter of 2023, we subsequently recorded positive adjusted free cash flow for the full year 2024. And I'm also proud to announce that in 2025, we achieved our first full year of net profit. As we look ahead, there are four core principles of our financial road map that will guide our execution in the medium term and serves as a framework for how we create long-term shareholder value. Firstly, we remain focused on growing in a sustainable and durable manner. We're not chasing growth at any cost. Instead, we are driving relentless improvements to the affordability and reliability of our core offerings to capture a larger share of our addressable market and also employing the product-led and ecosystem-focused approach to cross-sell high-margin services like Financial Services. Secondly, we will continue to drive improvements to operating leverage. Our priority is now to build on this foundation and compound the earnings growth of our ecosystem as we continue to benefit from the network efficiencies we've spent the last decade building. Third, we are laser-focused on free cash flow conversion. We expect our adjusted free cash flow conversion rates to improve as our profitability grows and achieving operating leverage. Finally, we will maintain a strong disciplined balance sheet. Our capital allocation framework is one which prioritizes organic growth with high returns and remaining disciplined on M&A while returning excess capital to shareholders. Now let's look at how this all comes together in our guidance for 2026. First, on the top line, we expect group revenues to grow between 20% to 22% year-over-year to $4.04 billion and $4.1 billion, accelerating from the 20% growth in 2025. This is not just a byproduct but larger base. It's a direct result of our sustained growth in our On-Demand GMV and Financial Services continuing to be our fastest-growing segment as we scale our loan portfolio. Now on adjusted EBITDA, we expect to grow by 40% to 44% year-on-year, reaching $700 million to $720 million in 2026. This step-up in profitability reflects that network scale efficiencies and cost leverage we've been building into the platform. This is supported by the continued growth in our On-Demand EBITDA, but also Financial Services segment moving towards EBITDA breakeven in the second half of the year. As we continue to lean into technology and Gen AI also to drive the corporate efficiency and the operating leverage in the business. Now I would also like to outline how we are thinking about the next 3 years and the goals we are focused to achieve. For the next 3 years, we expect robust momentum in revenue growing at a 20% CAGR from 2025 to 2028, with adjusted EBITDA tripling from 2025 to reach $1.5 billion in 2028, and for adjusted free cash flow conversion to expand to 80%. Now let me discuss each of these in the next three slides. Looking ahead through 2028, our revenue outlook is defined by a demand-led strategy across several high-velocity levers. First, for our On-Demand segments, we are very focused on new user growth by expanding our footprint into noncapital cities while broadening at the same time our product suite to capture the untapped segments of the market. This expanding base gives us our larger foundations to drive retention and frequency. And furthermore, we expect a gradual increase in basket sizes. Secondly, our Financial Services engine. We expect Financial Services to become an increasingly larger contributor to our total revenue base. By leveraging our proprietary ecosystem data, we can scale lending dispersal with high confidence in our credit costs, creating a high-margin revenue stream. Finally, on MSME and merchant solutions. We see significant upside from merchant-focused initiatives specifically in advertising and omni-commerce solutions like dining. These are services that allow us to enhance our value proposition to merchants. Collectively, these strategic pillars provide a clear trajectory towards our 2028 revenue targets. Now let's move on from revenue outlook to our EBITDA trajectory. Our focus is on driving operating leverage required to reach our target of $1.5 billion in adjusted EBITDA by 2028. Now to point it to context, this represents 3x growth from our 2025 performance and a more than doubling of the EBITDA we've guided for 2026. This is anchored by three key pillars. First, On-Demand. Our primary driver for absolute EBITDA growth is expansional our top of the funnel. As we continue to expand this ecosystem, we are benefiting from compounding network scale efficiencies, particularly within fulfillment and fixed cost leverage. This enables us to track towards our long-term steady-state margins of 9% plus of Mobility and 4% plus for Deliveries. Secondly, for our Financial Services, we are firmly on track to achieve EBITDA breakeven in the second half of 2026. And from that point onward, we will progressively expand margins. This transition will be fueled by the scaling of our loan book and the continuous maturation of our credit models, which allows us to grow interest income while keeping a tight lid on credit costs. Finally, on corporate costs. While corporate costs will naturally increase as we scale, our focus is on driving operating leverage and ensuring that these costs grow at a significantly slower pace than group revenue. By executing across these three fronts, we will aim to become more efficient as our business scales. As we scale both our top and bottom lines, we are entering a phase of accelerated free cash flow growth. The key takeaway here is our conversion efficiency. We expect that adjusted free cash flow conversion to move from 58% in 2025 to a target of 80% by 2028. This is driven by capital expenditures and taxes growing at a much slower rate than EBITDA. While we remain disciplined in how we deploy capital into critical assets like our fleet, including autonomous vehicles, we are also aiming to decouple our revenue growth from our capital intensity. This ensures that even as we invest for the long term, we are seeing a much higher portion of our earnings converting directly into cash. By 2028, we expect this efficiency to generate over $1.2 billion in full-year adjusted free cash flow. This level of cash generation allows us to self-fund our continued innovation while maintaining a strong balance sheet. Finally, I want to discuss our capital allocation principles. As we move into this next chapter, our framework continues to be anchored on four priorities. First, we remain disciplined in investing for organic and profitable growth. We are ensuring that our core segments have the resources needed to capture the deep market opportunities that we see. And also we'll be prudent towards deploying capital where it generates the highest returns. Second, we are staying highly selective on inorganic opportunities. We will maintain a high bar and only pursue acquisitions if they strategically accelerate our roadmap, bringing critical technology or talent and meet our strict return thresholds. Third, we'll aim to maintain a strong balance sheet with ample liquidity. Our robust cash position is a competitive model. It ensures we can navigate macro volatility with ease while continuing to innovate. And finally, where we have excess capital, we will continue to return capital to our shareholders. We're pleased to announce a new $500 million share repurchase program this quarter. This follows the completion of our previous $500 million share program last year and brings a total commitment to $1 billion in share repurchases. To wrap things up, 2025 has been a milestone year for us. If our first decade was about proving that the Superapp model could work, then this past year was a critical proof point that we can scale this engine with durable growth and profitability. While we are proud of our progress, we recognize we are still in the early chapters of our long-term journey. The graph that you see today is a fundamentally different company than the one that went public 4 years ago. We have reached a stage where growth and profitability are no longer a trade-off. We are driving significant top line expansion by maintaining strict discipline in our capital allocation. What is most meaningful to me as well is that our financial progress is now the engine for our wider mission. By generating robust cash flow, we are in a strong position to deliver our triple bottom line. We are delivering sustainable value for our shareholders by building a profitable compounding business enabling us to create positive societal impacts by expanding earnings opportunities for our partners and also at the same time, protecting the environment. We are more energized and ever to continue this work and keep growing the business for our users, our partners and shareholders. Thank you for watching and listening to Anthony, Alex and I. I will now turn it over to Ken Lek as we begin the Q&A session.
Ken Vin Lek: Sure. We now open the call to questions. And as a reminder, to audience, please submit your questions via investor.relations@grab.com. With that, our first question comes from the line of Pang Vitt from Goldman Sachs as well as Horng Han from CLSA. The question is about our EBITDA -- 2028 EBITDA guidance. Just a question for management. You provided a strong outlook of tripling EBITDA between 2025 and 2028. Could you outline the key assumptions by segment? And what are the biggest drivers to this step-up?
Peter Oey: Let me take this one here, Horng Han and Pang. There's really two key themes. If you really step back and in the last 40 minutes, we've actually gone outlined what they are. The first is sustainable growth. You're seeing the momentum of the revenue growth that you're seeing in the business, and that translates to what you see in the guide, the 2026 guide in terms of revenue, the 20% to 22%, and then also to even gone beyond that to 2028, where you see that 20% revenue CAGR growth from 2025 to 2028. So that's the first theme. The second theme is operating leverage in the business and the cost structure. Now let's step back here. It's really -- if you look at how -- in terms of how we think about profitability, that $1.5 billion of EBITDA target that we're aiming for, there is four key things. The first thing On-Demand revenue. The On-Demand engine is working. And you see that continued momentum in driving user growth at the top of the end of the funnel that we're seeing right now. Now that is going to translate into also absolute margin expansion and absolute margin dollar in the business. We are driving cost down so we can lower the cost of serving the business. That affordability that we're working on so focused on is working, and we're going to continue to extend that. But to do that and drive margin at the same time, you've got to drive also a lowering of cost to set up. So we're going to go and continue to double down on driving that top line, but also lowering our cost to serve so that we can deliver margin improvement in both the Deliveries and the Mobility business. So that's the first critical pillar that we're going to drive. The second one is around Financial Services. You're seeing the engine working now. You're seeing that loan book now continuing to scale. We clipped the $1 billion in terms of loan book. And what you're going to see is that as the business turns breakeven in the second half 2026, you'll enter into a new inflection point, and you're going to see that profitability continuing to grow. We're very bullish in where Financial Services is going as that low -- as we lower the credit cost also of that business. And the risk-adjusted return that you're seeing is already tracking above our cost of capital. So you have the Financial Services segment and also the On-Demand business working together to really lift that operating margin in the business at the same time. Now the third and the fourth is really a combination of operating leverage in the business, which is the corporate cost side of the house. And you're seeing that copper cost coming down. If you look at 2023, it was roughly about 17% as a percentage of revenue. In 2025, we just -- we've gone down to 11%. So you see a 600 basis points of margin improvement of that business. So as we continue to drive cost in the business, whether we -- it's our cloud cost, whether it's the cost of funds or just using more AI to drive productivity in the business, you are going to see that absolute margin improve overall as a business. So that's how you think about it. Two pillars, continuing to drive that growth across all our core segments of our business, drive operating leverage, and that generates the margin continued absolute dollar improvement to that $1.5 billion.
Ken Vin Lek: Okay. Our second question and then related one comes from Venugopal from Bernstein. And this is a question for Peter as well. What prompted us to provide a 2025 -- 2028 guidance, as such long-term guidance is typically not common? How predictable is the business model? And is this all going to be driven by organic growth?
Peter Oey: So Venu, yes, it's all organic growth. That's what we've given out here today. If you look at the strategy, actually hasn't changed in terms of how we're going to continue that momentum. Just to earlier point of the previous question, we're continuing that momentum in the revenue side of the business. And we feel that the timing is right. The last time that we provided a 3-year guidance was back in September 2022. And now the business has changed. The business has continued to scale, we're seeing a momentum, it's an inflection point. And we are seeing all the ingredients that we've been building over the last 2 years now are coming into action, and 2025 was the year demonstration of that. then we want to continue to expand that. But we also we want to provide our investors our longer-term long-term financial roadmap, what are we heading for over the next 3 years? And really, the acceleration of growth that we're seeing, we're going to continue to maintain that. We clipped over 50 million of MTU today, and we think there is still a lot more MTUs that we can reach in South Asia. If you look at the number of cities added in the last 4 years, we had over 400 cities. Imagine that in Southeast Asia, there are more than 400 cities. These are noncapital cities, and there are more cities that we want to go and enter and serve the Southeast Asians. So we want to continue to maintain that growth. But at the same time also, we know that we have to grow the profitability and the free cash flow conversion. So we've given up all ourselves as a management team as well as Grab as a target to go for. And that is that $1.5 billion EBITDA that we want to reach in 2028 and the free cash flow conversion of our business. We're on the right. All the cylinders are firing and the engine is going, which is great to see. And 2025 was a testament. We're able to demonstrate we can do that. And now we're in 2026, we're confident in the next 3 years.
Ken Vin Lek: All right. We'll move on to a few questions on Indonesia. The next question comes from Navin Killa from UBS as well as Pang Vitt from Goldman Sachs. A question for Alex. Is there any update on Indonesia's proposal to lower ride-hailing commissions? And if implemented, how would this impact take rates and segment margins? And what levers do you have to offset that potential pressure?
Alexander Charles Hungate: Okay. Thanks for this question, Navin and Pang. This is actually a great opportunity to clarify because there's been a lot of speculation in the media about what might happen in Indonesia. So we can confirm that the government have not proposed any changes in commission caps. We're in close consultation with them. And we're aligned and committed to their ultimate goal, which is improving the welfare of drivers in Indonesia. So those of you that have been following closely will know that we have unveiled so social security initiatives for our hardworking drivers, plus Hari Raya bonus coming up as well. And we're able to use the technology that we've developed, particularly AI and a product called Ride Guide, to help them get more productive so that they can get more orders and earnings for every hour that they choose to work. We'll continue to do this because both ourselves and the government have aligned interest to develop a sustainable platform that operates reliably for our customers and affordably for our customers to enable us to continue to create and enhance livelihoods for driver partners and micro SMEs across Indonesia. And then a follow-up question on the margins, I think, from Divya is coming up. So Ken, do you want to read the question?
Ken Vin Lek: So Divya asked a follow-up question in Indonesia. Also for Alex, could you provide updates on Grab's GMV growth and market share trends in Indonesia in the fourth quarter? Do you expect margins for Indonesia to be impacted by higher driver welfare costs in 2026?
Alexander Charles Hungate: Yes, Divya, thanks. So despite the macroeconomic headwinds, we have driven affordability as a key part of our strategy. and the product-led strategy in Indonesia. So we've been able to improve our category leadership across all verticals in Indonesia. It's growing about in line with the overall group and faster than the market in Indonesia. So we've been able to demonstrate a sustainable double-digit GMV growth for our On-Demand segment, and we've expanded the profitability year-on-year. So in answer to your question, we do not expect margins to be impacted by the social programs that I just described because we're getting more operating leverage as we scale up in the country because of our scale. So probably the most important aspect of the results in the fourth quarter for Indonesia were the increased velocity in Financial Services for us in the country. The highlight was, of course, the IPO of Superbank in December, which came out now, I think, with a $1.8 billion market cap and was incredibly successful, 300x oversubscribed with over 1 million shareholders. And I believe at this point, we've got more shareholders in Superbank than any other stock on the IDX. So that's just an indication of the potential of the market for Financial Services, and we're just getting going now with an increase in velocity to be expected in 2026.
Ken Vin Lek: Okay. With that, we now have a two-pronged question from Piyush Choudhary from HSBC. We'll take the first question first before we pause for the second. So first question is for Anthony on our AV initiatives. So Grab has done various partnerships in cutting-edge AV companies. Can you provide an update on the progress of your various pilots? And apart from Singapore, do you see commercial rollout in other ASEAN countries in the next few years?
Ping Yeow Tan: Great question, Piyush. Piyush, our long-term strategy is centered on a single goal of building supply resilience. We view AVs not as a replacement for our driver partners, but as a critical buffer to ensure 100% reliability. That is the key driver for customer retention, especially during peak hours or in underserved areas. You may actually have seen us make, as you talked about just now, small minority investments. Now these position us in Southeast Asia in a way where we can have a geopolitical and technological [ hedge ] because we can partner global leaders across both U.S. and China ecosystems, whether it's a WeRide or [ May Mobility ] from the States or Momenta and even hardware leaders like [indiscernible] in LiDAR. Now this agnostic approach allows us to leverage this unique position we are in with the ability to take the best technology from the world to adapt it to specific nuances of Southeast Asian infra. Over the next 3 years, you asked, we see actually Singapore as our blueprint. You look at Ai.R. Ai.R is our first public AV shuttle service in Singapore's Punggol district. That's a great example. Ai.R has covered over 25,000 kilometers with zero safety critical incidents or near misses. This is the highest mileage recorded and the most data collected by any AV operator in Southeast Asia. Our in-house fleet operations tooling will also enable real-time alerting for AV issues, which allows our operations center to respond quickly to potential incidents. And most importantly, we strongly reiterate our commitment to transitioning our driver partners into new and emerging roles as we move towards a hybrid human and autonomous fleet. We are already retraining our strong Grab driver partners to form a pool of qualified safety operators during this pilot. They are part of our growing AV fleet operations ground team, which also comprises customer support and depot operations. And we do all this to ensure as we move to a hybrid fleet, we maintain our operational heart, while, as Peter just now shared, lowering our long-term cost per kilometer. We will, of course, continue to work hand-in-hand with regulators like Singapore's Ministry of Transport to collectively define the safety standards and operational frameworks that allow driverless transport to coexist safely with traditional traffic. Ultimately, we see this transition as a way to future-proof our platform and network, and we ensure that we can remain the most efficient marketplace as we lead Southeast Asia into its next chapter of mobility.
Ken Vin Lek: Thank you, Anthony. So second part of Piyush's question is a two-part question for Alex. How is the performance of the various new product initiatives you launched in 2025? And what are the key learnings from these rollouts? As for 2026, what new products could we potentially anticipate? So first part of the second question. The second part of the question is, I note that Grab's MTUs has grown 15% year-over-year to now cross over 50 million users as of the fourth quarter of 2025. Could you share with us your outlook for MTU as a percentage of ATU penetration over the coming years?
Alexander Charles Hungate: Thanks, Piyush. Yes, you're right. At the start of 2025, we did say that we would be focusing on user growth and frequency. And it was indeed a key driver of our growth acceleration in 2025. I remember 2 years ago, we were talking about Grab being used by 1 in 20 of the folks here in Southeast Asia. Now we're at 1 in 15. And I would make the same point, although we're growing very fast and penetrating very fast, we're still just scratching the surface. There's lots of upside left in this young, dynamic region for Grab to continue to penetrate. So our GMV growth accelerated by 21% year-on-year, but the transaction growth, which is key, grew even faster at 24% year-on-year in this last fourth quarter. That MTU to annual transacting user penetration is at 37%, as Anthony said at the start of the presentation today, and that's an increase from last year. And ATUs, the overall base has grown even further to 129 million users now. So the product strategy is working. We will continue. We updated the new product initiatives in Deliveries when we last updated at the half year, contributed to about 1/3 of our GMV. On a full-year basis, I can tell you that now is represented by almost half, so 46% year-on-year GMV growth from our new products, so a massive contribution. Just to summarize what the product strategy has been and what we will continue to focus on, so the ladder pricing strategy is working. Affordability drives a lot better frequency. So Saver gives us 1.5 higher frequency than the average. And the high-value customers are here in Southeast Asia as well, less price sensitive, looking for limo rides to airports, et cetera. So we'll continue to grow at the top end of the ladder also, allowing us to manage the margin mix very nicely, as you saw in the overall results. We like viral products for users. So we've been building viral products where usage brings in new users through the platform. So Group Order is a great example of that. We get to double the retention and frequency from Group Order that we get from the average. Family Account is another example of that. And then GrabMore, the cross-sell from food into GrabMart, is also operating extremely well for us to help build long-term value. And then the last and probably the most important aspect is the focus on the merchants and their success. So now we've got a whole suite of integrated solutions, as I was describing earlier, that go from demand generation on delivery, dining in, loyalty as a service, all the way through to payments, fintech lending, et cetera. We are the only provider in Southeast Asia that can bring all of those together for the merchants. And the more successful those merchants are with Grab, the more successful Grab will be in the long run as well. In the future, we're not only talking about penetration of MTUs into ATUs, but we're now increasingly inside Grab talking about daily usage. We want Grab to be embedded in the daily lives of people in Southeast Asia every single day. So the frequency of once per day is how we think about the challenge in 2026, and we're making good progress towards that. Thank you.
Ken Vin Lek: Next question comes from Alicia Yap from Citi. This is a three-part question on our 3-year revenue guidance. So first part of the question could be, could you provide us with the breakdown by segment of how this will contribute to your revenue growth? Second part to the question, could you also provide color on Deliveries EBITDA margin by 2028? And third part to the question, will you still achieve Financial Services breakeven by the second half of 2026? So all pointed questions, and this is a question for you, Peter.
Peter Oey: Okay. Alicia, if you look at the top line, what you're going to see over the next 3 years is with the Financial Services of our business is going to be growing much faster than our On-Demand. And that's the product is just scaling. You've got the banks now on fire going really all out in building the loan book. We've clipped the $1 billion loan book. We expect to double that loan book by exiting 2022 -- 2026 and continue to increase from that. So with the banks continuing to increase their penetration in the marketplace and also with some of the other products that they're coming up with, we expect that growth to continue to accelerate, outpacing the growth of our On-Demand business. That's not to say that our On-Demand business will also continue to grow, which there will be. If you look at what Alex has been sharing across the product portfolio of our Deliveries business, we're seeing strong growth on our grocery business. which is growing 1.7x faster than our food business, and that will continue to also -- to be maintained and sustained as we get into 2026 and beyond in the Deliveries segment. We still have work to do also in affordability. We're not stopping on affordability. There's still a lot of things that we want to do on the ride side of the house as well as on the Deliveries side that will continue to also fuel the momentum on the growth business of our On-Demand. Margin, you'll see margin expansion, as I said earlier, when Pang asked about the margin side, the On-Demand business will continue to grow for that -- for both On-Demand. But also, you'll see the Financial Services margin continuing to grow faster than our On-Demand business also and also when it comes to the absolute margin versus our On-Demand portfolios of our business. And then also, we're continuing to double down on our advertising business at the same time to supplement and complement our On-Demand business, which is really critical also as we continue to grow. I think there was one more question from Alicia, which I haven't answered. I've lost track to that.
Ken Vin Lek: Fintech breakeven.
Peter Oey: Fintech breakeven. That's right. Alicia, I can tell you right now, second half 2026 will happen.
Ken Vin Lek: All right. Thanks, Peter. So we're getting a couple of questions on AI from both Alicia from Citi as well as Navin from UBS. So Anthony, a question for you. Given the rapid evolution of AI models and the increasing penetration of AI chatbots, what is management's view on the positioning of Grab's Superapp strategy in light of this? How does Grab anticipate potential shifts in user behavior and the use of AI chatbots as discovery funnels and ordering gateways, which could disrupt its services?
Ping Yeow Tan: Great question, Navin and Alicia. Look, we view the evolution of AI not as a threat to the Superapp model, but as a high-velocity engine that will scale our model. Now to address your point on disruption, we see three strategic pillars that strengthen our position rather than pose a threat. Let's talk about LLMs. LLMs are exceptional at discovery and digital commerce. We have now become embedded -- we, as Grab have now become embedded in the everyday lives of Southeast Asians. And this is the beauty of how we use and leverage this embedding. The hyperlocal physical infrastructure that we've built by being embedded across Southeast Asia, it allows mobility, food delivery services to become our strong moat, and Grab has become the indispensable fulfillment partner. So LLMs can be a great channel, but we are the indispensable fulfillment partner. We own real-time mapping, the merchant relationships and the fleet logistics across Southeast Asia. And these assets, these -- a lot of them are physical on-the-ground assets are incredibly difficult to disintermediate. Number two, you mentioned earlier about search engines directing traffic. Now our partnerships with OpenAI now as our first lighthouse partner some time ago and Tropic aren't just for internal efficiency. They allow us to ensure that when a user asks a third-party AI, for example, how do I get home or what should I eat? Grab is the integrated fulfillment engine behind that answer. I would say the third part, now for users, they want deep personalization, they want efficiency. So we are deploying semantic search and generative AI to turn our Superapp into a personalized concierge, if you may. We aren't just waiting for search, we are leveraging the data, we have leveraging generative AI and the best foundational models to predict intent. For our ecosystem, with over 1,000 proprietary AI models, as Alex shared before, we're already powering merchants with our AI agent. We talked about Mai before. We're powering drivers with an AI Ride Guide that Alex talked about as a coach. We've dispatched over 90% of our rides are fully dispatched with AI, and we continue to improve our credit underwriting with AI. This has directly translated into higher retention and improved unit economics. If you remember, from 2022 to 2024, headcount basically stayed flat, but revenues doubled. That's what we see. We've seen the power of AI. Ultimately, we continue to build the AI-led operating system for Southeast Asia. We're excited to showcase the next generation of these tools at our upcoming GrabX Product Day. So we hope to see all of you there.
Ken Vin Lek: Okay. So the next question is actually on our new acquisition, Stash. As a reminder to the audience, we announced this morning that we are acquiring a digital investing platform Stash based in the U.S., which Alex shared more details on earlier. So two questions, one from Ranjan Sharma from JPMorgan and another from Venu Gopal from Bernstein. So firstly, could you share with us management some of the financial metrics of this business, including its burn as well as near-term earnings? What did you pay for these assets on a valuation basis? And second question, what does this signal? Is it a platform that's meant to be rolled out in Asia? Or is it a formal entry into the U.S. market? Does our 2028 guidance include contributions from Stash?
Peter Oey: Lots of questions there. Let me just start, our long-term strategy remains very rooted in Southeast Asia. We still have a lot of work to do in Southeast Asia. It's our core markets, and there's still a lot of products and users that we want to touch with, whether it's across all our different segments of our business today. Now why did we do Stash? It's really a unique asset. If you look at the trend of when we do acquisitions, if we looked at the last unique asset that we acquired was around Supermarkets, the Jaya and Everrise, we see Stash as a very unique asset with a few things. One is it's got a very strong IP. It's got a strong talent pool and a platform that we don't have today. If you look at Financial Services as a business, what do we have? We have a very strong payments, we have a strong lending business, which is continuing to scale, we have a big deposit base over 7 million customers on the deposit side on the banking side of the house. What's missing? We don't have an investing platform today. And that's really critical for us as we continue to complete the full picture of Financial Services in Southeast Asia or also in other parts of the market where Stash operates today. Now it is a positive EBITDA business today. It is generating free cash flow positive, and we see this business generating $60 million in EBITDA in 2028. So it's an accretive business that we see. But really, it's important that we also serve our user base today, not only in extending loans, but also teaching them how to save. It's critical in terms of our mission for the underserved, especially on Financial Services. So we're very excited to have the Stash family joining us. We expect to close this transaction sometime in Q3 or Q4. It's a great team. We already have over 1 million customers that we are continuing to serve that they have continued to prove that, that product works. And as they continue to build that product set out, they're going to continue to penetrate the U.S. market, but also over time, we'll introduce the product here in Southeast Asia.
Ken Vin Lek: We're getting several questions now from various analysts on our grocery strategy. So notably questions from Jiong from Barclays, Divya from MS, Wei from Mizuho and Sachin from Bank of America. This is likely a question for you. Alex, can you provide us with an update on our grocery strategy and recent growth trends? What changes are you seeing in the competitive landscape across Southeast Asia? And how do you plan to invest capital into this vertical?
Alexander Charles Hungate: Okay. Thanks. So our most upvoted question. Well, first of all, let me start with the market opportunity. In ASEAN, the modern retail penetration is less than 40% of the overall grocery market. And then online grocery penetration is even lower at less than 3% in the majority of our markets. That compares with much higher numbers in U.S., China, U.K. of 15%, 20%, even 30% in some of those markets. So for Grab, currently, [ Mart ] is only 10% of our Deliveries GMV, although it is growing a lot faster at 1.7x faster than food year-on-year. So we're starting to get a lot of traction. The way that we are growing is that we are adding selection that is adjacent to the food consumption that we see. So beverages and groceries make a lot of sense when you're ordering food. And we're getting the input from the searches and the behaviors of customers on the food side to understand how to expand the SKU selection and using Grab more to do the cross-sell from food users into [ Mart ]. And when we do that, we see that the higher frequency is 1.5x and the spend is 1.5x when they're just a food-only user. We're also improving the integration with our partners using tech, and that's helped us to improve the reliability. So the fulfillment rate and the customer experience is getting better and better. So those of you out there that haven't used GrabMart, please give it a go, and you'll see this tremendous improvement in selection and the availability of those items. When we do that, we get higher engagement, we get higher long-term value, and that reinforces our conviction to invest in this space, but we're investing with discipline. So we can get sustainable returns because we're leveraging our on-demand capabilities. We're growing supply chain by integrating more deeply using our tech with the partners in each market, so we can leverage their supply chain assets, and that improves the financial performance. And then finally, we can enhance monetization through the Financial Services capabilities that we talked about earlier, so the pay later capabilities, moving into installment loans. So you can see that we've got multiple levers to monetize, and that means that we can invest with discipline and continue to grow rapidly in the grocery space at the same time.
Ken Vin Lek: Okay. With that, we now have time for one last question. The final question comes from Divya from Morgan Stanley on our capital allocation strategy. So Peter, this is one for you. The cash on our balance sheet is notable, and it will build up further with our improving free cash flow outlook. While we welcome the share repurchase, it does contribute a very small amount of your total capital you have today. Where do you expect to allocate capital if there are no opportunities for inorganic growth in the region? Are there new geographies to consider?
Peter Oey: If you look at the -- there's one slide I had in my remarks earlier about capital allocation. And it hasn't actually changed. If you look at the previous comments that I made around capital allocation to what I just presented also, it hasn't changed a lot because we've been consistent in terms of how we think in capital allocation. When it comes to inorganic opportunities, we're going to be continuing to be very disciplined. And that high bar is so important. So for every opportunity that we look at in using every dollar that we deploy, and you've seen a couple of examples that we deployed those assets, whether it's the Stash or whether it's the supermarkets. We've also deployed certain capital around our autonomous vehicles product roadmap, robotics also; those come with a very high threshold in terms of valuing those companies, but also the synergies we can extract as well as the tech and the talent that we can bring into the ecosystem. So that lens, Divya is going to continue to maintain. It's not going to change. The priority for us continues to be in organic growth, our existing businesses. And the banks is one that we're continuing to make sure that the scalability and the expansion continues. And it's where we do see opportunities in organic growth, we are going to double down. We talked about -- Alex just talked about supermarket or grocery, the opportunity there that we see in modern retail in terms of where we can penetrate more. And we will have a high bar also when it comes to those organic opportunities, so we'll continue to deploy those. Now the share repurchase program is important to us as we return capital back to our shareholders. So $1 billion, our wall is not small that we've continued to make sure that we bring the commitment back to shareholders. We'll continue to evaluate that over time. But the -- what I want to finish up is that it's important that we always continue to have a strong balance sheet. That ample liquidity is important because it gives us flexibility, Divya. It gives us the leverage also in terms of how we can invest in the right areas. So we're going to continue to maintain the very strong capital allocation framework.
Ken Vin Lek: All right. With that, it brings us to the end of our Q&A session. I'll now turn the time over to Peter for his closing remarks.
Peter Oey: Great. Well, I know it's been a lot longer than our traditional calls and also this format is a little bit different. But I thought it was important for Anthony, Alex and I here to really just go to a little bit more details in terms of how we think about the business over the next 3 years. We are entering an inflection point as a business overall. The business that you look at today is very different to what we were 14 years ago, 10 years ago and when we went public. And that's important because we are going to continue to execute and out serve. If you look at the number of the results that we just posted, what did we do? We exited 2025, much more stronger top line growth, profitability and our first year net profit. And our 3-year guidance is that reflection of our confidence. We want to go to continue to drive sustainable and profitable growth. Now I just want to also just thank you to all the partners, the drivers and the merchants that we serve today. I had the opportunity of visiting a few cities in the last 3 weeks, and it's just been another just sobering moment for me just to talk to those drivers and the merchants and the sweat that they put through and the effort and the sacrifice that they put in into the Grab ecosystem. So thank you to all the drivers and the merchants out there who are our beloved partners. To all our customers, we have over 50 million monthly transacting users today. Thank you for continuing to support Grab, and I hope we are fulfilling the products and the services that you're continuing to use to the Grab-ers for the mighty effort in 2025 and to also for our shareholders for their continued support. The IR team and myself will be on the road over the next few weeks. Look us up, visit us, knock on our doors, give us a call. We'll be in the U.S. and across Asia in different parts. We'd love to meet up and sit down with you also as we go through our journey of 2026 and also go through our 3-year guidance. So thank you again for listening and for watching us all today. See you at the next quarter.